Operator: Good morning. My name is Colom. And I would like to welcome everyone to the Bridgemarq Real Estate Services Inc. 2021 Second Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session.  Thank you. I would now like to introduce you to Mr. Phil Soper, President and CEO of Bridgemarq Real Estate Services Inc. Mr. Soper, you may begin your conference call.
Phil Soper: Thank you, Colom, and good morning, everyone. With me today is our Chief Financial Officer, Glen McMillan, and we appreciate you joining us on the call this morning. Today I'll begin with a brief overview of the company's second quarter results and business updates. Glen will then discuss our results in more detail, and I'll conclude with some operational highlights, company updates and market developments. Following our remarks, both Glen and I will be happy to take your questions. I want to remind you that some of the remarks expressed during the call may contain forward-looking statements. You should not place reliance on these forward-looking statements because they involve known and unknown risks and uncertainties that may cause the actual results and performance of the company to differ materially from the anticipated future results expressed or implied by such statements. I encourage everyone to review the cautionary language found in our news release and our regulatory filings which could be found on both our website and SEDAR. As I mentioned on recent calls, it remains important to consider the potential impact of the COVID-19 pandemic on the economy, real estate market, and company performance as an extension of our traditional cautionary language. The pandemic has impacted some industries negatively and some positively and real estate brokerage is clearly in the lost camp. Still this ongoing health crisis is a shifting and unpredictable variable for investors and we encourage you to take that into consideration. Within the industry, the company's brands are well positioned for success. Our best-in-class technology, training and market has helped us flourish. However, how the sector performs overall will ultimately be impacted by Canada's overall economic performance, and drilling down factors such as immigration, employment levels, and interest rates. You are going to hear numbers on today's call such as 153% year-over-year market growth. Please remember that we are comparing today's performance to a period last year in which the economy was artificially restricted, as we all shelter-at-home to keep our community safe. That said, housing COVID catalyst as I sometimes call it in which Canadians put incredible focus on the importance for their home, which had become their offices, their kids school rooms, restaurants, gyms, and primary place of entertainment was and is a very real phenomenon. This is in our industry has been very good. We do see signs of moderation in June, which is typical leading into the summer months. However, unit sales remained significantly higher than the 10-year average, and listings continue to be below historical new norm. As a result, while the rate of house price increases should moderate, we continue to see upward pressure on home prices. The company itself is very pleased with its second quarter financial performance. Revenue for the quarter was up 22% to $14 million, and distributable cash flow increased by 73% to $6.4 million, compared to the second quarter of 2020, which was negatively impacted by emergency lockdown measures as I mentioned previously. In addition, going beyond this to capitalizing on those strong market conditions, I am pleased to report that the 2020 launch of our cloud-based AI-driven rlpSPHERE digital platform, operating platform has been a big success, allowing us to add a net 667 REALTORS over the past 12 months. Glen will provide more commentary on company financials shortly. At our Board meeting yesterday, the Board of Directors approved a dividend payable on September 30 of $11.25 per share to shareholders of record on August 31. This indicates an annualized dividend of $1.35 per share, which is consistent with 2020. With that, I'd like to turn things over to Glen for a look at our second quarter financial performance.
Glen McMillan: Thank you, Phil, and good morning, everyone. As Phil mentioned, revenue in the second quarter was $14 million, compared to $11.4 million in the second quarter of last year. For the first six months of the year, revenues were $27.1 million, compared to $22.5 million generated in the first half of 2020. Strong real estate markets across the country contributed to stronger operating results and improved cash flows compared to last year. Net earnings for the quarter were $900,000 or $0.10 per share compared to a loss of $9.2 million or $0.97 per share during the second quarter last year. The results reflect a loss of $2.5 million on the fair valuation of the exchangeable units issued by the company compared to a loss of $7.9 million last year. Distributable cash flow amounted to $6.4 million in the quarter. And as mentioned, this is a 73% increase over the $3.7 million generated in the second quarter of last year we were negatively impacted by the pandemic. During the quarter, the Canadian residential real estate market closed up 153% compared to Q2 of last year, when the entire country was locked down, and real estate markets reached all-time lows at the start of the pandemic. The increase was driven by a 91% increase in unit sales and a 27% increase in average selling price. The Greater Toronto area, which represents about a third of the national housing market saw markets rise 179% to $40.1 billion. The primary driver was 127% increase in unit sales, and an average selling price increase of 21%. The Greater Vancouver market closed up 195% driven by 157% increase in unit sales and a 12% increase in price. And the Montreal market closed up 104% reflecting a 60% increase in unit sales and an 18% increase in average selling price. And now I'll turn it over to Phil to provide additional insights into the market and an update on our operations.
Phil Soper: Thank you, Glen. While the second quarter total transactional dollar volume increased 25% over the first quarter of the year, signs of moderation have begun to emerge. The Canadian market is shifting towards a more typical summer market where homebuyers parse their searching joy good weather. And with the pandemic era restrictions lifting there have been many more activities for people to enjoy and call it recreational pent-up demand. While demand may soften - housing demand may soften compared to the record unit sales earlier this year, transactions during the second quarter are well above the 10-year average barring a significant upset to the economy we do expect activity to lift again after the summer months in the fall, which is the normal seasonal flow of our industry. Historically low interest rates coupled with a sharp rise in household savings, there have been simply many fewer ways and places to spend have boosted purchasing power, and uncertainty regarding the duration of the pandemic and what post pandemic life holds have increased Canadians desire to upgrade their living space. Many now envision that they will be working at least partially from home permanently or for the foreseeable future as a part of the way companies operate. This opens up many possibilities in terms of where a family might locate. Our business in Atlantic Canada for example, has experienced a brisk trade. People from the Greater Toronto area have relocated to much more affordable cities such as Saint John, New Brunswick or Moncton, Charlottetown. It has resulted in something of a revival of medium and small town Canada. Canada's highly competitive housing market has resulted in a significant pipeline of potential buyers who were not successful in transacting during the overheated first half of the year. They will continue to be an important source of demand in the months ahead. The housing investor segment and particularly investors in condominium housing were significantly impacted by the pandemic as domestic student, international student, and newcomer immigrant demand abruptly halted during the pandemic. The federal government has announced that Canada will be accepting over 1.2 million new Canadians through 2023. Company research shows that new Canadians tend to rent during the first three years in the country, but do have a high propensity to purchase after that. In addition, with the return of in-person classes at colleges and universities, demand for student accommodation should shift closer to pre-pandemic levels. New entrants to the workforce of our specifically those who travel tourism and hospitality industries were the hardest hit by the economic fallout from the pandemic. Many return to living with parents, others never had the opportunity to move out. If businesses continue to reopen, as expected, this group will achieve employment in larger and larger numbers, and gain the financial confidence needed to reenter and purchase a home. In July, the Bank of Canada stated that the economy reopened after the third wave of COVID-19. As it reopened, growth should continue to rebound strongly. The bank is forecasting expansion of approximately 6% this year, slowing to about 4.5% in 2022. Very strong growth. They also expect employment to continue to rebound to pre-pandemic levels. This ongoing demand is expected to strain Canada's already chronically low supply of housing, while putting upward pressure on home prices. It's also important to note that this lack of inventory acts as a drag on overall industry sales. The company's network continues to be highly productive while working remotely. As a leading real estate tech company, the ongoing investments that have been made in our products and services through the years have allowed the network to thrive in the current market. Our technology platform rlpSPHERE that I spoke to at the outlet is a work from anywhere on any platform digital operating system. The leadership of the company's brands continues to meet and exceed the evolving demands of the network through new products and services, along with comprehensive training programs to help them understand how to leverage these business services and technologies to help them succeed. During the second quarter, the Royal LePage brand launched a consumer facing blog focused on real estate markets buying and selling home improvement and lifestyle content. The brands industry facing blog, Royal LePage leading edge was refreshed and enhanced during the quarter with new design sports recruitment efforts and position the company as a leader in real estate services technology. Also during the quarter, our Johnston & Daniel business unveiled enhanced international marketing platform through the new partnership J&D Global now offers more premium digital exposure including top tier international news outlets for Canada's premium boutique, luxury brokerage. These investments in products and services are critical to recruiting new retention efforts. The company's strong network growth is a testament to the brand's performance in delivering on first to market tools that can create competitive benefits. We are pleased to see the brands offerings resonating within the industry. In conclusion, while there remain many unknowns regarding the impact of the pandemic, market fundamentals remain supportive of real estate demand. The company's strong performance during the second quarter is the result of both market performance and network growth. The company's brands continue to enhance their offering by putting leading technologies into the hands of our front facing people. And with that, I'd like to turn the call back to our operator and open up to questions. Thank you.
Operator:
Phil Soper: Thank you, everybody for tuning in. We look forward to keeping you up-to-date with our regularly released studies on market performance, and specifically to our shareholders at our next quarterly call.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating, and ask that you please disconnect your lines.